Operator: Good morning. My name is Casey. And I would like to welcome everyone to the Bridgemarq Real Estate Services Inc. 2020 Fourth Quarter and Annual Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. I would now like to introduce you to Mr. Phil Soper, President and CEO of Bridgemarq Real Estate Services Inc. Mr. Soper, you may begin your conference call.
Phil Soper: Thank you, Casey, and good morning, everyone. With me today is our Chief Financial Officer, Glen McMillan. And we welcome you to our 2020 results call. Following the usual format of our quarterly conference call, I will begin with a brief overview of the fourth quarter and annual results, and afterwards, Glen and I will discuss financial results, as well as remarks on recent business operational highlights and market developments. Following our remarks, both Glen and I would be happy to take your questions.
Glen McMillan: Thank you, Phil, and good morning, everyone. Our net earnings for the year were $0.8 million, compared to $3.1 million in 2019. The primary driver of the reduction as Phil mentioned, is lower revenue resulting from the implementation of the Pandemic Fee Relief Plan. In March of 2020, as real estate market sales volumes were poised to drop dramatically below historical levels. The company introduced the Pandemic Fee Relief Plan as a temporary alternative to its standard fixed fee plan. The company suspended franchise fees for approximately 82% of its network of REALTORS and implemented an increased variable fee of 3% to 4.2% of gross commission income, subject to a cap. After a dramatic drop in volumes in April and May, real estate markets rebounded in the last half of the year, with many markets reaching all time highs. These strong real estate markets in the third and fourth quarters contributed to a large number of REALTORS reaching their cap, at which point they paid no franchise fees for the rest of the year, negatively impacting Q4 revenues relative to 2019. As of January 1, 2021, Bridgemarq has reverted to its traditional fee plan, which is biased towards fixed franchise fees.
Phil Soper: Thank you, Glen. To better understand the Canadian housing market during the pandemic, we need to step back and examine the market prior to March 2020. In the middle of the last decade, home prices were escalating rapidly as supply failed to keep pace with the demand for housing with fundamental household formation in this country. Provincial governments responded with legislation to artificially quell demand in the latter part of the decade and in January of 2018, the federal mortgage stress tests bill B-20 was introduced, which required mortgage seekers to show that they could afford to make payments if interest rates were to move to much higher levels. Particularly in overheated Ontario and DC markets slowed considerably for about 18 months longer in British Columbia, while Canadians adjusted to the new rules. In the second half of 2019, we began to see the market improve as prospective homeowners adjusted to the stricter loan approval conditions and saved additional funds for down payments. The Canadian market entered 2020 on a very positive note with sales volumes up in double digits on a year-over-year basis. We were positioned for a brisk spring 2020 market. This demand abruptly halted when shelter-at-home orders were introduced by the federal and provincial governments in order to slow the spread of COVID-19. As market activity paused in April and May, the pent-up demand from the sluggish -- sluggishness in 2018 and ‘19, as well as the new demand from more recent household permission didn’t evaporate -- didn’t go away, it -- in addition to that, governments around the world announced significant interest rate reductions to stimulate economic recovery. We know that few industries reacted strongly to interest rate policy as ours. As Canadians adjusted to their working and living reality, we introduced a comprehensive work safe program that showed prospective clients that we were able to serve them safely. This further encouraged people that it was safe to buy and sell property. As I mentioned at the outset, young buyers entered the market in large numbers, bringing life back into the cycle of the real estate economy. The COVID catalyst resulted in record sales volume to many areas of the country in the latter half of last year and the beginning of 2021.
Operator: Great. Thank you. 
 :
 :
Operator: And I’m not showing any questions that are coming in. Mr. Soper, I’ll turn the call back over to you for any closing comments.
Phil Soper: Thank you, Casey, and I want to thank everyone. We had a very large crowd on the line to the call today for participating in today’s quarterly and full year results and looking forward to updating you on the business and industry at the company’s Annual General Meeting on May 11th at 10 a.m. Details will be on our website and through our regular communication challenge -- channels. Thank you.
Operator: And ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.